Operator: Good day, and thank you for standing by. Welcome to the First Quarter 2024 Parsons Corporation Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded.
 I would now like to hand the conference over to Dave Spille, Senior Vice President, Investor Relations. Please go ahead. 
David Spille: Thank you. Good morning, and thank you for joining us today to discuss our first quarter 2024 financial results. Please note that we provide a presentation slides on the Investor Relations section of our website. On the call with me today are Carey Smith, Chair, President and CEO; and Matt Ofilos, CFO.
 Today, Carey will discuss our corporate strategy and operational highlights, and then Matt will provide an overview of our first quarter financial results, as well as a review of our increased 2024 guidance. We then will close with a question-and-answer session.
 Management may also make forward-looking statements during the call regarding future events, anticipated future trends and the anticipated future performance of the company. We caution you that such statements are not guarantees of future performance and involve risks and uncertainties that are difficult to predict.
 Actual results may differ materially from those projected in the forward-looking statements due to a variety of factors. These risk factors are described in our Form 10-K for fiscal year-ended December 31, 2023 and other SEC filings. Please refer to our earnings press release for Parsons' complete forward-looking statement disclosure. We do not undertake any obligation to update forward-looking statements.
 Management will also make reference to non-GAAP financial measures during this call and we remind you that these non-GAAP financial measures are not a substitute for the comparable GAAP measures.
 And now, I'll turn the call over to Carey. 
Carey Smith: Thank you, Dave. Good morning, and welcome to Parsons first quarter 2024 earnings call. We had a great start to 2024 after reporting record financial results and fiscal years 2022 and 2023. For the first quarter of 2024, our momentum continued with record quarterly results for revenue, adjusted EBITDA, adjusted EBITDA margin, contract awards and total backlog. Our ability to leverage our strong balance sheet to invest in software and integrated solutions, as well as to acquire companies with differentiated technologies is enabling Parsons to move up the value chain and win larger and more profitable contracts.
 Our team continues to perform at a high level, and our persistent focus on our 6 growing end markets is enabling us to capitalize on the tailwinds that are positively impacting both our Federal Solutions and Critical Infrastructure segments.
 During the first quarter, we generated over $1.5 billion in revenue for the first time in our company's history and delivered organic revenue growth of 29%. This is now the fourth consecutive quarter where organic growth exceeded 20%, making us an industry growth leader in both our Federal Solutions and Critical Infrastructure segments. These strong results included double-digit total revenue growth across all 4 business units in major geographies.
 We also achieved quarterly records for adjusted EBITDA and contract awards. Adjusted EBITDA grew 56% and contract awards increased 51% year-over-year. Total backlog also grew 8% to a record $9 billion, and we exceeded our cash flow expectations for the quarter.
 Our momentum is driven by our ability to deliver on our customers' missions, win and ramp new contracts, grow revenue on existing contracts, achieve strong win rates, efficiently manage costs and operate effectively in our 2 well-funded and growing segments. As a result of our strong first quarter performance, we are increasing our 2024 guidance ranges for all financial metrics, which Matt will discuss in a few minutes.
 During the first quarter, we achieved a book-to-bill ratio of 1.4x on an enterprise basis, which included 3 contract wins over $100 million each. Parsons continues to win large strategic contracts across both segments, supporting national security priorities and unprecedented global infrastructure spend.
 In our Federal Solutions segment, we continue to pursue contracts that focus on near-peer threats and require solutions that are driven by our exquisite cyber, space, missile defense, electronic warfare and information operations capabilities.
 In Critical Infrastructure, we're pursuing projects that require high-end design and program management expertise and build on our legacy of delivering innovative solutions for complex infrastructure projects. We are also aligned to geographic locations that receive high levels of global infrastructure funding.
 Strategic first quarter wins in our Critical Infrastructure segment include our selection by the Gateway Development Commission as the delivery partner on the $16 billion Hudson Tunnel Project, which we plan to book our portion of this contract in the second quarter of 2024. This milestone project is supported by the bipartisan Infrastructure Investment and Jobs Act and is slated to receive nearly $12 billion in federal funding, the largest investment for a mass transit project in modern history.
 Over the last 12 months, Parsons has won 3 of the largest North America transportation wins in our company's history: the Hudson River Tunnel; JFK International Airport Roadways; and Newark Bay Bridge projects. Parsons also won 2 significant contracts in Saudi Arabia during the first quarter. The first was a new $87 million 3-year contract. This project is for the development of a luxury mountain tourism destination and the real estate development customer is owned by the Public Investment Fund of Saudi Arabia. The second award was a $53 million contract for program management of Riyadh's road network.
 Following a record in 2023 of 33% organic growth, Parsons continues to win work in the Middle East as a result of our strong trusted partner reputation. We expect continued double-digit growth in the Middle East in 2024 given our first quarter performance, current backlog of work and our large pipeline of bid opportunities.
 Strategic first quarter wins within our Federal Solutions segment include option period awards totaling $970 million with a confidential customer. Also, Parsons was selected by the United States Department of Labor to assist with planning, management and oversight of the Job Corps Facilities Program. We are the sole awardee on the $115 million contract, of which we booked $46 million. Parsons has performed project management on this contract since 2013.
 In addition, Parsons was one of 2 companies awarded a position on an IDIQ contract by the National Nuclear Security Administration Office of Nuclear Smuggling Detection and Deterrence. This $1 billion ceiling value contract to deploy global counter-nuclear smuggling systems represents new work for the company, and we were already awarded 2 task orders for $13 million. This strategic win is an important progression of our decades-long legacy of serving global and national non-proliferation security missions.
 In addition to the Department of Energy, we have supported customers, including the Defense Threat Reduction Agency, Transportation Security Administration and the Countering Weapons of Mass Destruction Office in similar missions. We were awarded a $63 million firm fixed-price contract by the United States Air Force Life Cycle Management Center, of which we booked $44 million. The scope is for a directed energy laser system that has already neutralized more than 4,000 unexploded ordnance and allows for the precise detonation of submunitions, cluster and general purpose bombs, land mines and artillery shells. This is the first ground-based laser system in production and has been deployed in Iraq, Afghanistan and the Indo-Pacific region where it demonstrated 100% effectiveness.
 Finally, we were awarded a 1-year base contract by the National Oceanic and Atmospheric Administration for system integration and cloud management services for their Traffic Coordination System for Space. This contract is valued at $27 million, of which we booked the base value of $16 million. Under this contract, we will provide space situational awareness and space traffic coordination services to private and civil space operators. We were able to win this strategic contract by leveraging the expertise of our space team that has supported the Department of Defense for nearly 2 decades.
 We are now providing space situational awareness solutions for both commercial and Department of Defense customers, and we are well-positioned to pursue future global opportunities.
 In addition to our contract wins, the Environmental Protection Agency recently issued the first national drinking water standard to protect communities from exposure to harmful PFAS or forever chemicals. The EPA estimates that 6% to 10% of United States public drinking water systems will have to take action to comply with these new and more restrictive safety standards. This announcement includes $1 billion of newly available funding and as part of a $9 billion investment from the bipartisan infrastructure bill to help communities eliminate PFAS and emerging contaminants from their drinking water.
 Although the market is in very early stages, we believe that PFAS mitigation offers a significant future growth opportunity for Parsons since we have the ability to investigate, remediate, treat and provide monitoring and support services for our customers. We have already completed nearly 2,000 PFAS investigations for industrial, commercial and federal clients, and we've designed and built and installed over 7,000 PFAS point of entry treatment systems. We also designed, built and continue to operate 3 full-scale treatment plants to remove PFAS from drinking and wastewater. We estimate PFAS is a $40 billion addressable market for Parsons, and we expect annual spending to grow into the next decade.
 We continue our 80-year history of cultivating a responsible enterprise. We are proud that we were named one of the World's Most Ethical Companies by Ethisphere for the 15th consecutive year. We also were recognized for delivering project excellence on 3 major infrastructure programs and honored for our diversity, equity and inclusion efforts and for being a military-friendly employer.
 The company's Newark Liberty International Airport Terminal, a joint venture project, was named the World's Best New Airport Terminal by the global airport evaluation firm, Skytrax. This project is just 1 of 3 North American airport terminals to receive a 5-star rating from Skytrax.
 Additionally, the I-270 North Design Build Project, for which Parsons served as the primary consultant, was selected as one of the American Public Work Association's 2024 Transportation Projects of the Year.
 Finally, the American Council of Engineering Companies of New York recognized Parsons with the Empire Award for the East Side Access project for its significant contributions to the growth, prosperity and betterment of the community. These recognitions reiterate Parsons' commitment to successfully delivering on our customers' missions.
 In summary, we are executing on our strategy and delivering on our customers' missions as we continue to post record results and strong growth rates across all key financial metrics. Parsons has the right team and the right portfolio at a time when all of our end markets are growing between 5% and 12%. Our team is consistently delivering double-digit growth across all 4 business units in major geographies. Our concerted effort to increase margins drove significant expansion this quarter.
 In addition, our cash flow and strong balance sheet are enabling us to continue to invest in technology and our employees to further differentiate our portfolio and to complete accretive acquisitions across both segments. This is enabling us to win a significant amount of business as contract awards grew more than 50% this quarter.
 As we look to the future, we have ample tailwinds in both segments. In Federal Solutions, near-peer threats are driving demand for our cyber, space, missile defense, electronic warfare, information operations and critical infrastructure protection capabilities. This complements the unprecedented infrastructure spending across our global portfolio. Our significant financial visibility is supported by these market tailwinds and by having less than 5% of our revenue up for repeat in 2024 and less than 10% in 2025, having a record total backlog of $9 billion, of which 61% is funded, having $14 billion of contract wins that have not yet been included in our contract awards or backlog, and having a $56 billion pipeline of opportunities to pursue.
 Before I turn the call over to Matt, I want to thank and recognize the outstanding work of our talented employees. For 8 decades, they have worked to make our world safer, smarter, more sustainable and more secure.
 With that, I'll turn the call over to Matt to provide more details on our first quarter financial results and our increased fiscal year 2024 guidance. Matt? 
Matt Ofilos: Thank you, Carey. As Carey indicated, our momentum continued through the first quarter of 2024 and was highlighted by record results for total revenue, adjusted EBITDA, adjusted EBITDA margin, contract awards and total backlog. We're pleased with our double-digit growth across all business units. Our Q1 margin performance also put us on our way to our 40 basis point goal for the year.
 Turning to our results. First quarter revenue of $1.5 billion increased 31% from the prior year period and was up 29% on an organic basis. Organic growth was driven by the continued ramp-up on recent contract awards and execution on our backlog programs. SG&A expenses for the quarter were 14.4% of total revenue compared to 17% in the prior year period as we intentionally focus on efficient growth across the portfolio.
 We are realizing savings in areas to include facilities expenses, while continuing to invest in technology, new business capture and hiring retention initiatives.
 Adjusted EBITDA of $141 million increased $51 million or 56% and adjusted EBITDA margin expanded 150 basis points to 9.2% from the prior year period. These increases were driven primarily by increased volume on the margin accretive contracts and a deliberate focus on cost management and controls.
 I'll turn now to our operating segments, starting first with Federal Solutions, where first quarter revenue increased by $275 million or 43% from the first quarter of 2023. This increase was driven by organic growth of 41% and the contribution from our Sealing Tech acquisition. Organic growth was driven primarily by the ramp-up of recent contract wins and growth on existing contracts to include strength in our cyber portfolio.
 Federal Solutions adjusted EBITDA increased by $36 million or 65% from the first quarter of 2023, and adjusted EBITDA margin increased 130 basis points to 10.2%. These increases were driven primarily by increased volume on accretive contracts, effective cost controls and a favorable adjustment related to the achievement of program milestones.
 Moving now to our Critical Infrastructure segment. First quarter revenue increased by $87 million or 16% from the first quarter of 2023. This increase was driven by organic growth of 15% and a nominal amount of revenue contribution from acquisitions. Organic growth was driven by higher volume in our Middle East and North America infrastructure portfolios.
 Critical Infrastructure adjusted EBITDA increased by $14 million or 42% from the first quarter of 2023. Adjusted EBITDA margin increased 140 basis points to 7.7%. The adjusted EBITDA increases were driven by higher volume on accretive programs and improved operating performance.
 Next, I'll discuss cash flow and balance sheet metrics. During the first quarter of 2024, we consumed $63 million of operating cash, which was better than planned. Compared to prior year, the greater cash consumption was the result of timing of receipts. Additionally, there was higher incentive compensation given the company's strong fiscal year 2023 operating performance and increased employee base.
 During the quarter, net DSO declined by 6 days to 63 days. Capital expenditures totaled $9 million in the first quarter of 2024. CapEx continues to be well controlled and remains in line with our planned spend of less than 1% of annual revenue, while continuing to invest in strategic areas like classified facilities and space technology.
 Turning to bookings. First quarter contract award activity increased 51% year-over-year to a record $2.1 billion for a book-to-bill ratio of 1.4x. On a trailing 12-month basis, contract awards increased 41%, and our book-to-bill ratio was 1.2x.
 In our Critical Infrastructure segment, we achieved a quarterly book-to-bill ratio of 1.3x in Q1. On a trailing 12-month basis, it was 1.1x. This marks our 14th consecutive quarter with a book-to-bill ratio of 1.0x or greater. On a trailing 12-month basis, our book-to-bill ratio was 1.1x. We remain optimistic that global infrastructure investment will continue to drive demand and new business well into the future.
 Our Federal Solutions book-to-bill ratio for the quarter was 1.4x and 1.2x on a trailing 12-month basis. We ended the first quarter with a record backlog of $9 billion, up $664 million or 8% from the prior year period.
 During the first quarter, we took advantage of positive market conditions and successfully issued $800 million of 2029 convertible senior notes to retire a portion of our $400 million convertible notes due in 2025. As a result, we were able to obtain an attractive interest rate of [indiscernible], which provides enhanced free cash flow to continue our demonstrated capital deployment strategy.
 In addition, we entered into hedging transactions as part of this offering that protects shareholders from dilution up to a share price of $131.76. We used the net proceeds from our new convertible note to repurchase approximately $285 million of our prior $400 million convertible notes, and we expect to address the remaining notes at or before their August 2025 maturity.
 We intend to use the remainder of the net proceeds from the new offering for general corporate purposes, potential acquisitions and to fund working capital related to the company's growth. Thanks to strong investor demand for this offering, we achieved beneficial terms for the company from a well-timed and efficiently executed transaction.
 The transaction capitalized on the strength of Parsons' business performance and balance sheet to achieve 2 key objectives: first, to raise capital at the lowest all-in cost available to Parsons; and second, to minimize potential dilution to our current shareholders by retiring the existing convertible and issuing a new convertible at a higher share price.
 The transaction resulted in a $214 million pre-tax charge to our GAAP net income and impacted GAAP EPS by $1.50 per share. Excluding this impact, GAAP EPS would have been $0.49 per share. This charge was primarily due to the strength of the stock price increasing to a level above the conversion price of our original convertible bond. These GAAP charges have been excluded from our adjusted EBITDA and EPS calculations.
 Our balance sheet remains strong as we ended the first quarter with a net debt leverage ratio of 1.6x compared to 1.4x at the end of the first quarter of 2023. We will continue to effectively use the strength of our balance sheet to make additional internal investments and accretive acquisitions that support our long-term growth objectives.
 Now, let's turn to our guidance. We are increasing all of our 2024 guidance ranges to reflect our record first quarter results, recent large contract wins and option awards, positive end market exposure and our favorable outlook for the remainder of the year.
 For 2024, we are increasing our revenue range by approximately $350 million to $6.1 billion to $6.4 billion. This represents total revenue growth of 15% at the midpoint and 14% on an organic basis, which is approximately double the growth rates of our prior guidance.
 Additionally, we are increasing our adjusted EBITDA range. We now expect adjusted EBITDA to be between $535 million and $575 million, which represents 19% growth at the midpoint of the range and continues to exceed revenue growth.
 Margin at the midpoint of our increased revenue and adjusted EBITDA ranges remains at 8.9%, which is 40 basis points above our fiscal 2023 results. We are also increasing our cash flow guidance. We now expect operating cash flow to be between $380 million and $440 million. The midpoint of the guidance range we expect free cash flow conversion to be approximately 100% of adjusted net income.
 Other key assumptions in connection with our 2024 guidance are outlined on Slide 11 in today's PowerPoint presentation located on our Investor Relations website.
 In summary, we had a very strong start to the year with great top and bottom line results, and we exceeded our cash flow expectations. We also completed a successful financing transaction and are confident in our ability to achieve our increased 2024 guidance ranges.
 With that, I'll turn the call back to Carey. 
Carey Smith: Thank you, Matt. In closing, I'm very pleased with our start to 2024. We delivered record results for revenue, adjusted EBITDA, adjusted EBITDA margin, contract awards and total backlog. We also achieved 29% organic revenue growth, which was driven by strong growth across all 4 business units in major geographies, giving us the confidence to raise all of our guidance metrics.
 Looking forward, I'm excited about our business given the ample tailwinds that we have in both segments, our strong backlog and pipeline, low repeat levels and robust balance sheet, that will enable us to continue to invest in the business and make accretive acquisitions to drive future revenue growth and margin expansion.
 With that, we will now open the line for questions. 
Operator: [Operator Instructions] Our first question will come from the line of Tobey Sommer with Truist Securities. 
Tobey Sommer: The first question that comes to mind is, how does -- do you think Parsons sustains what seems to be a systematically higher win rate for new Federal Solutions contracts than certainly is an industry norm, because the rate of organic growth that the company has posted is -- almost seems otherworldly for this industry? 
Carey Smith: Yes. So we're very pleased with our win rate of 78% so far within the quarter, and this is up from our win rate last year of 66% and the prior year of 49%. I would say a couple of things. First is, I think all 4 business units are really hitting on all cylinders. We've made a conscious effort to strategically position ourselves in 6 markets. All markets are growing and we're fortunately winning business across all 6 of those markets.
 We've also had the strategy of moving up the solutions value chain and both through internal investment as well as through M&A, being able to bid and win larger, more strategic and more profitable jobs. And I think as a testament to that, we had 15 wins last year greater than $100 million. Starting off this quarter, we had 3 wins greater than $100 million. So again, I would say, again, both segments, all 4 business units are really hitting on all cylinders. We have the right team, the right profile at the right time. 
Operator: Our next question comes from the line of Sheila Kahyaoglu with Jefferies. 
Sheila  Kahyaoglu: Great quarter. I want to maybe start out with FS, like 41% organic growth. I don't think I've ever seen that for a defense contractor. So maybe if you could give us a little bit more detail on what drove that? You mentioned cyber in your prepared remarks, Matt, I believe. So if you could give us some outline there on how we could see that growth continue through the year? 
Carey Smith: Yes. So the Federal growth was very strong at 41%. And also we had Sealing Tech acquisition that was included in our total growth. There were a couple of things. First, I'd say it was ramp up of recent wins. It did include our cyber portfolio. So some of the contracts we've had like our CS contract, CCMS, Bold Venture, those have all seen growth. We also won some work with a confidential customer. And fortunately, that contract was able to ramp up very quickly. 
Sheila  Kahyaoglu: Okay. And then if I could ask about the 3 Jersey contracts, just because that's where I'm from, the Hudson River Tunnel, JFK and Newark. Carey, you gave those a shout out. So how do we think about the scope of those and the dollar amount on an annual basis and the duration? 
Carey Smith: Yes. So let me start with JFK. JFK was a $130 million contract for us. And basically, our scope will be upfront. So it's going to be over the first 3 years. And Sheila, you'll be happy to know we will improve the roadways. We're going to make it much easier to get in and out of the JFK Airport, which I know we're all looking forward to.
 The next one I'd say is the Newark Bay Bridge, which is basically -- we reflected by the New Jersey Turnpike Authority as the final designer to replace the Vincent Robert Casciano Bridge, which is also called the Newark Bay Bridge. And so on that one, you're going to see that period of performance basically over about a 5-year period, delighted to be the designer to do that new bridge. And this basically builds upon our bridge reputation where we've designed to build over 4,000 bridges around the world. So significant strategic win for us.
 And the last one I'll say, probably the one that we're most proud of is the Gateway program, the largest mass transit investment in the U.S. in recent history. There's going to be, as I mentioned on the call, $16 billion of funds going into this and we will be the project manager for it.
 So this is the Hudson Tunnel Project where we're going to be improving the capacity, the reliability and the resiliency for commuter and intercity rail transit. And this line serves 800,000 daily passengers from D.C. to New York, New Jersey and New England, really critical project for the region and the area. We're just delighted to be a partner and supporting the Gateway Development Commission as their integrated delivery partner. 
Operator: Our next question comes from the line of Bert Subin with Stifel. 
Bert Subin: I wanted to ask, maybe first question for you, Matt. If we think about the margin setup, I think the sort of path that you talked about at Investor Day was sequential improvement over a 3-year period in Critical Infrastructure. And what we're seeing is -- it seems like that's on track, but Federal Solutions has sort of stepped up from that 9% or low 9% range. What should we expect? Is there an opportunity for Federal Solutions margins to remain elevated? Or were there some onetime things that keep that in that double-digit range? 
Matt Ofilos: Yes. Good question, Bert. I'd say when I think about Federal, you've heard Carey and I talked previously that we're pretty happy with where Federal sits from a margin perspective, kind of low to mid-9s. I will say you'll probably see a little bit of a shift to a little bit more fixed price this quarter. And so that's an intentional goal of trying to drive additional fixed price to help drive margins. So we did see -- so we could see some additional help on the Federal margins.
 But to your point, our long-term goal is to get the Critical Infrastructure business trending toward double-digits and it's kind of just the slope at which we get there. But yes, absolutely, within Q1, we had Federal -- we had a smaller pickup in there related to some contract completions. But all in all, again, really happy with the EBITDA performance within the quarter, puts us well on our way to the 40 basis points of improvement year-over-year. 
Bert Subin: And just a clarification there, Matt. On the Critical Infrastructure side, I mean, I think you have one more project that's wrapping up second half. Should we expect that the margin has a little bit of like a hockey stick as we get later in the year? Or do you expect it to be more sort of sequentially improving at a slower rate? 
Matt Ofilos: Yes, I would say it's improving at a slower rate. That program specifically is kind of at a -- it's not necessarily a loss, it's kind of breakeven. So you'll start to see some improvement, but the revenue is pretty low at this point. So I wouldn't think of a hockey stick necessarily. But to your point, we're really excited. We wrapped up one of the 2 Challenge programs in Q1. And then the second one is due to wrap up late Q3, early Q4. So really running on track and in a great place. 
Carey Smith: Just to highlight -- sorry, Bert, just to highlight, I think -- sorry, I think we had on that one project about $20 million to write down last year. So that will eventually become a tailwind for us when that project does wrap up in the third quarter. We're excited. The product -- program is over 92% done. We've completed all the key technical hurdles to show the system works. So it's just a matter of finishing it up for our customer. 
Bert Subin: And just one follow-up on the Middle East. There's been some noise, I think, earlier this year just around NEOM getting scaled back from the 105-mile initial plant to 1.5 miles. I assume that initial plan was probably never viewed as too realistic in the time frame. But as you think about that, I'm just curious what impact you've seen in the region? It seems like in the quarter, flat sequentially on a seasonal basis is still pretty good and you're talking double-digit growth. So is it having any impact? And do you expect any acceleration in the region? 
Carey Smith: Yes. So NEOM was actually refaced in 2023. So we had built this into our plan. The line is still going to be 105 miles long, but what they've changed is the duration. Basically, they're going to do 1.5 miles by 2030. But the scope is still the same, again, from an overall perspective. As the program manager, we will be on from the start to the finish of this project. So it doesn't necessarily impact our work.
 Just to highlight overall in the region, we've been in Middle East region for 60 years. We've been in Saudi Arabia for 50 years. We have a 50-50 partnership with a Saudi company. So we're kind of seeing as Saudi in the work that we do. And that's why they trust us with their most critical projects.
 Saudi Vision 2030 was set up to transform the country and diversify away from oil. So how do you look at doing things different from an economic basis, a social basis, on a cultural basis? And we're involved in nearly every major project that's going on in Saudi, including NEOM THE LINE, NEOM Oxagon, Qiddiya, the world's largest entertainment city, Diriyah, the restoration of Saudi's history, King Salman Park, which is going to be 4 to 5 times size Central Park, King Abdullah Financial District, a city that's going to be driven and led by a lot of renewables. In addition, NEOM THE LINE, 100% renewable city. Then our most recent win, Al Soudah, which is going to be a new luxury tourism destination. So when you look at our Middle East growth results for the quarter of 19%, it's still substantial and we continue to win a lot of work there. 
Operator: Our next question comes from the line of Andrew Wittmann with Baird. 
Andrew J. Wittmann: Matt, maybe for you. I just wanted to understand a little bit more about the updated outlook here. I mean, when I just kind of look at, you don't guide quarterly, but when I look at your results versus consensus in the guidance range, it kind of feels like most of the raise was due to outperformance in the quarter rather than a change of outlook for the rest of the year. But I thought I would have you kind of offer some thoughts on how you're thinking about the remaining in the year this quarter versus how you saw it last quarter? And maybe if you could just quantify for us that pickup in the Federal segment, if we can just understand how much of a help that was in the quarter? 
Matt Ofilos: Yes, happy to do that, Andy. I think the way we looked at it is, the Q1 was up about $175 million in the ballpark from plan. So the $350 million raise is about half of the -- half of that happened in Q1. So think about $50 million to $60 million per quarter through the end of the year. Q2 to Q4 we are expecting 10-ish percent growth in both segments, plus or minus a point, depending on which segment you're looking at. But all in all, really happy with the performance in Q1. A good portion of the raise did come in Federal to your point. So I think that the $350 million lift is about -- half of it was Q1 and then the rest is spread Q2 to Q4. 
Andrew J. Wittmann: And the size of the pickup on the milestone payment? 
Matt Ofilos: That was just under $5 million, about $4.5 million. 
Andrew J. Wittmann: Got it. And then, thank you for the context that you gave us -- you gave us the contract scope that's been awarded but not in backlog as well as your total pipeline. Sometimes you guys talk also about the amount of awards that you've submitted that are awaiting notice. I'm just kind of curious if you have an update on that one, so we can just see how the bid process is converting into awards? 
Carey Smith: Sure. So to start with the pipeline, we have right now a $56 billion pipeline. Within there are $117 million -- or 117 programs that are greater than $100 million in value. The awarded, not booked, as you mentioned, is $14 billion and that's comprised of -- basically half of it is option years on contracts that we've been awarded. The other half is awarded Sealing as a single award to Parsons. So we do expect about 50% of that to convert within the next 3 years. Our awaiting notice of award amount is $4.5 billion. Within the $4.5 billion, there are 11 awards greater than $100 million. And again, just very pleased with the start to the year with 78% win rate. 
Operator: Our next question comes from the line of Alex Dwyer with KeyBanc. 
Alexander Dwyer: So I just wanted to expand on the $56 billion pipeline, which I think is slightly down from last quarter. Is that just a function of all the wins you've had in the quarter with the 1.4 book-to-bill? And then the pipeline, how does that split between the 6 business units? Is there like one or 2 of those that are driving a bigger share of the pipeline or one or 2 that are smaller? Just any thoughts on that would be helpful. 
Carey Smith: Sure. So the pipeline is very close to what it was last quarter. I think it's within $2 billion. And the pipeline is really driven by, to your point, wins. We did win some of the significant work that was previously in the pipeline. But it's still about our largest pipeline that we've ever had in our company's history. Most of the pipeline tends to be comprised. I'd say it's more slanted towards Federal because we have a little more line of sight longer term in the Federal business. So if you look at all 4 of the business units, though, are heavily represented within the pipeline. And again, all 4 of the business units are delivering and winning. 
Alexander Dwyer: And can I ask about the acquisition strategy for this year? How many deals would you expect to close on this year? Could they be larger or smaller? And maybe if you're seeing any heightened competition for acquisitions this year versus last year? 
Carey Smith: Yes. So we plan to acquire 2 to 3 companies this year. We're going to continue to be very selective. Last year, we passed on over 100 companies. So we regularly are looking at companies, but they have to meet our strict financial criteria of growing greater than 10% on the top line and having -- delivering greater than 10% EBITDA margin.
 Our plan is still to buy for capabilities. We're not buying for scale. I think we've shown we don't need to buy for scale. We've been able to move up the value chain and bid and win larger jobs through capabilities and technology differentiation. So when you look on the Federal side, we're going to continue to look at companies that have cyber, space, electronic warfare and information operations capabilities focused on the near-peer fight.
 And when you look on the Critical Infrastructure side, we're going to focus on our Tier 1 states, which are really Texas, Florida, California, New York and New Jersey. Even though we do business in all 50 states, those are the ones that will receive the predominant amount of the Infrastructure Investment and Jobs Act funding.
 As far as heightened competition at this point, I'd say it's still pretty similar to what we saw in last year. There's an expectation, I know by a lot of the bankers that the number of deals is going to go up in 2024. But I would say, as of first quarter, we haven't seen a significant change. We're going to continue to pay on our valuation, which has been around the 10 to 13x range. 
Operator: [Operator Instructions] Our next question comes from the line of Mariana Perez Mora with Bank of America. 
Mariana Perez Mora: Carey, you mentioned you're growing this fast because you have the right team, the right profile, the right time, and I could argue you're already looking at the right place to expose yourself to the critical -- the infrastructure bill. But how do you think about organic or inorganic skills, capabilities that you have to develop to continue to be with this profile and be able to continue to capture this type of growth? 
Carey Smith: Yes. So I would say a couple of points in that regard. First is it's important to hire, retain and develop the best talent. So we are a company that focuses on people first. We pride ourselves on having a differentiated culture where people can come in and be fully engaged in the business. We're not a huge company. So we still have kind of that agility and entrepreneurism of a small business, but yet we have the breadth and depth like a large company to be able to win programs. I would say we also invest in research and development to make sure we're on the leading edge.
 2 great examples of research and development projects I touched upon would be artificial intelligence and PFAS. Within artificial intelligence, we're applying artificial intelligence across our entire portfolio. We use it as an enabler in areas like counter-unmanned air systems, how do you identify, detect and track an unmanned vehicle that's coming in. We use it in areas like cybersecurity. Two-fold there. One, how do you detect an adversary's next move. And another example would be, if you're looking at our printed circuit board, how do you determine if it's been tampered with.
 On the Critical Infrastructure side, we're applying artificial intelligence to areas like energy. You have distributed energy resource management system. As you start to have renewables, how is your load going to change, how are your payment terms going to change relative to that. We also use it for cyber compliance for energy and water sectors and then we're using it for predictability on traffic flow. So I'd say artificial intelligence is a critical enabler for the business.
 The other area is PFAS. We expect the PFAS market, as I mentioned, to be a $40 billion addressable market for Parsons. We've already completed the 2,000 investigations, 7,000 point-of-use entries for households. We've also done over 71 projects to remove aqueous self-forming film, which is basically the film that is on facilities for Department of Defense, FAA. So we see that as a very robust marketplace. But I'd say it all comes back to having the right people to deliver the customers' missions as we move up the value chain in both of our segments. 
Mariana Perez Mora: And as a follow-up to the PFAS addressable market, how large is PFAS today? How should we think about the growth over the next decade as you reach this like $40 billion target and -- or like the market? And how are the margins on those developments? 
Carey Smith: Yes. So currently, our environmental remediation portfolio is about 12% of the Parsons' revenue. And if you look at growth of PFAS over the next decade, I would say we're at the very early stages. So we've done all these investigations. But now that the EPA has published its guidance for the minimum contaminant levels and people are going to have to -- cities, companies are going to have to start moving forward with remediation. There's also language, for example, in the NDAA that the FAA is going to have to remediate its sites. The margins are accretive to our business unit margins. 
Matt Ofilos: Yes, I'd say, Mariana, especially when we get out into the remediation phase, obviously, in the early phases when it's more studies. It's more kind of T&M. But when we get out into applying IP and the longer-term remediation, the margins are accretive -- even more accretive. 
Operator: Our next question comes from the line of Josh Sullivan with The Benchmark Company. 
Joshua Sullivan: Just on the labor availability question, can you just give us some perspective just on inflation, regional access, retention? 
Carey Smith: Sure. So we've been able to hire and retain people, and that's obviously what's been driving our organic growth. Our hiring goal is to achieve our midpoint of revenues this year, are about the same as what we delivered last year and we haven't seen much of a change in terms of the labor market.
 Our retention continues to be better than industry benchmarks in both of our segments. From an inflation perspective, I would say it's going to be pretty similar to last year and what we saw, not much of a difference. And because many of our contracts, 44% on the Federal side are reimbursable, we do get a large part of that reimbursed.
 And then on the Critical Infrastructure side, most of those projects, if you exclude the mine jobs, tend to have a shorter duration. So we don't have significant inflation.
 From a regional perspective, our easiest area to hire remains the Middle East because we recruit from over 40 countries around the world. So I think that will continue. And probably our next easiest would be Critical Infrastructure in general across North America. The hardest area to hire and recruit and retain is Federal, the people that have the clearances. So that is where we put a lot of focus.
 I think we've done several things very well there, including our robust intern program where we bring in hundreds of interns. We start to get their clearances at a very early stage. We also have a unique ability compared to our peers where we have a commercial business. So we can start people working in our commercial business, get them cleared and have them move over.
 But I think, again, it goes back to culture. And when you look at our company, we're very mission-focused whether it's national security or infrastructure, but we have a very unique culture and that's what attracts and retains people at Parsons. 
Operator: [Operator Instructions] Our next question comes from the line of Noah Levitz with William Blair. 
Louie Dipalma: Carey, Matt and Dave, this is Louie DiPalma. On the Federal side, how much of the elevated demand do you view as being driven by the various geopolitical conflicts around the world? And are you seeing specific work for cyber, missile defense and electronic warfare associated with Ukraine, Israel and the Indo-Pacific missions? Or is it more along the lines of everyday projects that you're seeing the elevated demand for? 
Carey Smith: Yes. Thanks, Louie, for the question. So I would say the confidential work that we're doing is related to a global requirement. And so, yes, that would tie to international demand. Talking more broadly about international in total, Parsons currently is in 30 countries around the world. And if I look specifically at Ukraine, the opportunities that we have there, today we're doing radar and RF emulators. We also were recently awarded an air-base air defense task order to provide integrated air-missile defense system across some of the NATO countries.
 And then we're working for the Defense Threat Reduction Agency on the eastern flank. So that includes areas like Ukraine, Poland, Baltics and we're seeing a higher demand there. Relative to Ukraine for the long-term where we see opportunities includes de-mining, environmental remediation to be able to get people back to live in Ukraine and then the ultimate rebuild of Ukraine. To talk about the Middle East conflicts, I would say we are engaged to support with cyber and electronic warfare to be able to counter threats and be able to protect our troops and the personnel in the region.
 And then the other region I'd like to mention is INDOPACOM, which is where we see significant opportunity. The FY '25 budget had $9.9 billion for the Pacific Deterrence Initiative. This was up 8.8% from the FY '24 budget. Parsons has been in Guam for 30 years, providing support for public works. We're doing defensive Guam work for the Missile Defense Agency and we have a contract to assess munitions, explosive materials for hazardous removal, also in support of the Missile Defense Agency. On Kwajalein, we built the airfield and we're currently building housing units and looking at other opportunities across that region.
 And then in Hawaii, we have about 130 people that support critical cyber and intelligence missions. Internationally, in all the regions I just mentioned, other capabilities that Parsons provides includes border security, counter-unmanned air systems, electronic security systems, cyber and electronic warfare.
 And then another thing that has come up as a result of the conflict is the shortage of munitions and ammunitions. So under the Army modernization plan, there's $4.5 billion put there to modernize the Army ammunition facilities and we're heavily involved at both Holston and Radford for that modernization. 
Louie Dipalma: It's obvious you have a ton of exposure to these conflicts. And on the other side of the business, you answered a few question about the 3 New York, New Jersey mega projects. But as it relates to the infrastructure bill funding, are there many others of these types of mega projects across the United States in the pipeline that are up for bid right now? 
Carey Smith: Yes, Louie. What we're seeing are bigger projects and we're seeing the projects come to fruition. Once the bill was passed in November 2021, the state and local also started to put up their funding because they knew the federal funding was secure. So we've seen a lot of projects move forward. I think that's reflected in our 14 consecutive quarters of greater than 1.0 book-to-bill growth. And I would say that those Tier 1 states that I mentioned, specifically Texas, there are several greater than $100 million, ranging $100 million to $500 million projects coming up there.
 Los Angeles is worried about -- they have to host the Olympics coming up as well as the World Cup. And then the New York, New Jersey area continues to modernize after receiving a significant amount of funds, and Florida would be the final one where we've seen both transportation opportunities as well as water -- wastewater. It's nice to see the funds flowing and more importantly, the projects moving forward. We don't expect that to peak until about the '27 time frame. And then we expect a tail after that of like 6 to 8 years and there's already talk about how do we keep the infrastructure going, so maybe an infrastructure bill too. 
Louie Dipalma: And is there many -- is there much demand in the pipeline for bridge infrastructure? There was the incident closed by you in Baltimore and there's been a lot of studies recently about just deteriorating bridges and aging infrastructure. Do you see a role for Parsons to play there in terms of the design of new, more resilient bridges? 
Carey Smith: We do and we can play one of 2 roles. We can play a program management role, which we've done, and we can play a design role. The Baltimore bridge, by the way, the key bridge, there's going to be an Industry Day held this week on that opportunity. But yes, we are seeing an opportunity. Bridges in the last report published by ASCE were rated very poor. And so they both need to be upgraded, better maintained and then in some cases, this is what we're seeing in the New York, New Jersey area rebuilt. 
Operator: That's all the time we have for questions. I'd like to turn it back to Dave Spille for closing remarks. 
David Spille: Thank you for joining us this morning. If you have any questions, please don't hesitate to give me a call. We look forward to seeing many of you over the coming weeks. And with that, we'll end today's call. Have a great day. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.